John Hamilton: Thank you, Molly, and good morning to everybody. This is John Hamilton, Chief Executive Officer of Panoro Energy ASA. On the second quarter 2019 results, we're going to try something a little different with the webcast. Hopefully, the technology works. In any case, the presentation, our second quarter results and the press release are all available on our website at www.panoroenergy.com. So for any reason you are having trouble with the webcast, the presentation is available on the website as well. If I could turn now from the cover slide to Slide Number 2, which is our disclaimer. I would just like to remind everybody today that today's conference call contain certain statements that are may be deemed to be forward-looking statements, which include all statements other than statements of historical fact. Forward-looking statements involve making certain assumptions based on the company's experience and its perception of historical trends, current conditions, expected future developments and also other factors that we believe are appropriate under the circumstances. Although we believe that the expectations reflected in these forward-looking statements are reasonable, actual events or results may differ materially from those projected or implied in such forward-looking statements due to known or unknown risks, uncertainties and other factors. If I can please turn the page to Slide Number 3, which is our presenting team. We are set together here in Oslo. Myself, John Hamilton; I'm joined today by our CFO, Qazi Qadeer; Richard Morton, our Technical Director; and Nigel McKim, our Projects Director. The format today is we will take you through a few slides to tell you a little bit about the business, second quarter results, of course. And we'll turn it over to questions at the end, if there are any. And each of the 4 participants here are available to answer questions from the audience. If I could please turn to Slide Number 4 now, which is entitled Q2 2019 Highlights. Operationally, Dussafu and Gabon average gross production over the quarter was over 12,000 barrels a day and continues to produce above expectations. The Dussafu drilling program has commenced with the spudding of the Hibiscus Updip well, which we'll tell you a little bit more about, followed by 4 production wells and then thereafter a minimum of one more exploration well. So lots going on at Dussafu, which we'll touch on. TPS production was about 4,000 barrels a day gross for the quarter with a target of 5,000 barrels a day by the end of the year and circa 4,500 or 15% by the end of Q3. The Salloum West exploration well is on track for spud towards the end of the year. We'll tell you a little bit more about that. At Aje, production is running stable, and the partnership there remains focused on advancing the Turonian gas development. Financially, we had gross revenue of $10.7 million in the quarter, in line with our liftings guidance. For the first half of the year, it's $30.6 million of gross revenue. EBITDA for the quarter was $5.1 million and a first half result of $16.3 million of EBITDA. Cash balances including cash held for bank guarantee at Sfax Offshore was $25.5 million and gross debt of $27.4 million. The results are impacted this year by a reversal of an impairment at Dussafu, which Qazi will touch on a little bit later. If I could turn now to Slide Number 5 titled active work program over the next 12 months and beyond. I think the title says it all. We are entering a very, very busy period here at Panoro. We have just spud in Gabon, the exploration well at Hibiscus Updip, which will be followed in the orange by 4 production wells, Phase 2 production wells, followed again in the green by an exploration well and possibly extra exploration wells as well. And then moving into 2021, which is a little ways off still, but we will be looking at Phase 3. At Gabon, we have a target of over 20,000 barrels a day by the second quarter of 2020. These are operator numbers. Obviously, we hope to do better than that, but that is the current target. In Tunisia, we're also extremely busy. We have an exploration well being spud towards end of the year at Salloum West. We have workover activity ongoing as we speak. We'll get into some details with that. And in terms of looking forward to 2020, we have lots of other opportunities identified in the slightly muted colors: workover activity, possibly production well, possibly some seismic and an additional exploration well as well. Our target at TPS is to be at 5,000 barrels a day by the end of the year, which represents 25% uplift from when we took over the asset. If I could turn now to the next slide, Slide 6, key metrics. We'll take you now through some numbers, which, hopefully, give you a little bit more granularity in terms of the performance of the business. So if I could turn now to Slide Number 7 entitled Production Growth. For those of you who've followed Panoro for some time, you know that we have gone through an exponential growth recently from 2017 where we're producing about 300 barrels a day to currently where the group is producing about 2,500 barrels a day. It's been an eightfold increase in production, and that is obviously very visible in our financials that we're presenting to you. As I stated before, TPS, we're targeting 5,000 barrels a day by the end of the year. At Dussafu, we're targeting a 65% increase taking us to at least 20,000 barrels a day during the first and second quarter of next year. I should say 2020 not 2019. We do note that the Tullow do have a back-in right to the Dussafu asset, which is in process of being documented, and that would see our production -- our share production drop by 10%. And at Aje, we are expecting for the moment that the asset will continue to produce 300 barrels a day net to Panoro. Taken in aggregate, in 2020, during the course of the year, we're targeting a 3,500 barrel a day headline rate during the course of the year with an upside potential not including any exploration success at Salloum West, for instance, of over 4,000 barrels a day. So hopefully, everybody can get a feel that we have still quite an upward trajectory here in 2020 with production targeted at least 3,500 barrels per day with an upside case well beyond that. If I could turn now to Slide 8, the key metrics at $65 Brent. I'd like to talk you a little bit about the economics and what it is we are doing. If we assume $65 Brent, which is a little bit higher than it is today but gives you a good idea, in Dussafu and Gabon on the left, we have $23 a barrel currently of OpEx per barrel. We're going to see that reduce to approximately $15 a barrel once the second phase production comes online. And more production covers the fixed cost base of the asset, and therefore, the unit cost come down quite dramatically at quite an attractive rate. The net backs, we're currently enjoying around $28 a barrel net back. That's after OpEx and tax. And upon Phase 2 coming onstream, we'd hope to be above $30 net back per barrel at $65 Brent. In Tunisia, it's already a very low cost operating environment. There are probably things that we can do at the margin to optimize that, but it's already an extremely attractive operating environment where we're doing about $12 a barrel. And the net backs there of the tax regime is a little bit different are -- about $20 a barrel at $65 Brent. Both of those numbers, the $12 and the $20, can be improved on if we are able to achieve the increase in production. Again, same concept where we're putting more production across a largely fixed cost asset base. So every extra barrel you can produce helps to decrease your OpEx per barrel and therefore, increase your net back. So hopefully that gives you a flavor a little bit about the underlying economics of the production that we talked about and the production targets that we talked about. If I move now to Slide Number 9, which is titled Q2 2019 highlights, I'd like to turn over to Qazi Qadeer.
Qazi Qadeer: Thank you, John, and good morning, everyone. We are on Slide Number 9. We announced our half year report this morning, which is available on our website, www.panoroenergy.com, and contains detailed analysis of quarter-on-quarter and year-to-date movements. Therefore, I'm only going to discuss key financial highlights this morning, which are summarized in this slide. To begin with, revenue and other income for the quarter was $10.7 million in 2Q, decreasing from almost $20 million in the first quarter. Please note here that other income is also included in the revenue line, which is a tax gross up for Dussafu in order to report consistently the tax under the tax line. Breakdown of revenue and other income is available in our 2Q report. The decline in oil sale revenue is a direct result of lower liftings during the second quarter, which is in line with the guidance we provided in the first quarter presentation. And we are also impacted by lower oil price realization in the second quarter compared to the first quarter. Looking at the first half result, it is selective of the operational activities for the period on an average basis and is a good benchmark for the number of liftings for the second half of the year, which we expect to be between 5 and 6 international liftings. Consequently, EBITDA for 2Q was $5.1 million compared to $11.3 million for the first quarter 2019. Again, this is a function of lower sales volumes and lower oil price realizations and an element of fixed operating cost base within the cost line. Net profit after tax is higher in the current quarter at $8.1 million compared to a loss of $1.5 million in the first quarter. This is due to reversal of impairment on Dussafu, which was $8.2 million that we have reversed this quarter. The activity for reversal of impairment is upward revision of results. We also report our results on an underlying basis using non-GAAP measures. After excluding items of nonrecurring and nonperforming nature like impairment and effects of commodity hedges, we end up with a pretax income of $1 million in 2Q and $7.8 million in the first quarter in comparison. This concludes the finance section, and I will now hand over to Richard to take us through the following slide, which will be Slide Number 10.
Richard Morton: Thank you, Qazi, and good morning to everyone. The next slide, I'll walk through the activities in Gabon. So we are on Slide 10 entitled Gabon. As a reminder, we're -- in the Dussafu Marin Permit, there are 5 fields within the permit: Moubenga, Walt Whitman, Ruche, Ruche North East and Tortue. And the latter 3 of these fields were discovered by Panoro and our partners in the last 7 years. We'll go to the next slide, Slide 11, and this is a description of the first of the fields that's come on production at Tortue field. So of course, we have 8.33% share of this license. Phase 1 is currently on production at 12,000 barrels a day, and this particular project was sanctioned from sanction to production in 18 months, which is a very fast track development. So we're currently producing from 2 subsidy wells into the BW Adolo FPSO. That's got a capacity of 40,000 barrels per day and is conceptualized at the area hub for production from within the Dussafu license area. We haven't seen any water or wax production to date, and this has enabled us to lift the reserve base at the beginning of this year. And the gross investment for Phase 1 totaled $175 million. Phase 2 is sanctioned, and the project is underway. We are benefiting, of course, from the existing infrastructure in the area in the shape of the FPSO, we'll tie new wells into that facility. There are 4 production wells to be drilled, 3 in the Gamba and 1 in the Dentale D6 reservoir. The rig, the jack-up Borr Norve, is currently on location drilling an exploration well. We'll touch on that in a moment. It will go on to drill the 4 development wells that constitute Phase 2. We see these wells coming onstream in Q1 2020, and we have a total of 35 million barrels for the combined Phase 1 and Phase 2 as a gross reserve at the start of this year. The gross investment for this phase is around about $240 million. We expect production to be in excess of 20,000 barrels in Q2 2020. We'll move on to the next slide, Slide 12. This is a time line of the Dussafu story. Top left, we have a map of the exploitation area showing where the FPSO is located in the bottom right at Tortue field. Four on the discoveries on the field on the license area are Moubenga Walt Whitman, Ruche and Ruche North East. Between 2011 and 2014, we are in the exploration phase. We drilled the Ruche and talked to discoveries, benefiting from 3D seismic data and moved into a commercial declaration, which enabled the granting of the exploitation permit. It's quite a large area, 850 square kilometers, so plenty of room for future phases. We're currently in the development and early production phase at present. First oil was achieved in September 2018. During that phase of development, we drilled the appraisal well at Tortue. We drilled an oil discovery at Ruche North East, and we had the reserve upgraded at the beginning of this year. We've taken an FID for Phase 2, and we're currently spudding or have just spud the Hibiscus well. We are about to commence the Phase 2 development drilling. Moving forward in the future, we're looking to sanction Phase 3, which will be the Ruche, Ruche North East area and develop other discoveries within the block, Walt Whitman and Moubenga. In addition, as you can see from the map, there are lots of additional prospects to drill for further exploration. Production wise on the right-hand side, you can see that we've grown from 10,000 to 12,000 barrels a day at Phase 1, moving up to 20,000 or more in Phase 2, and we can target 30,000 barrels a day for Phase 3. Further fields coming in will increase that number. Moving on to Slide 13, this is talking about the Hibiscus Updip well, which we are currently drilling and spudded on the 10th of August. This is drilled at a location that's updip from an existing well including 1991 by ARCO. This well had very good reservoir quality and it had oil shows in core. We believe we are in a updip location from the 3D seismic data, which is required since that well was drilled. And we're targeting a 4-way dip close structure with the resource size similar to the Tortue and Ruche discoveries, which I talked to you already on production, and Ruche will be Phase 3. As I mentioned, this is the start of a 6-well campaign, Hibiscus is the first of these wells. The 4 production wells to follow at Tortue, leading into 2020. And then we have an additional exploration well that's coming in 2020 to Q2. Following that, there are additional 2 slots available for the JV to utilize for further exploration drilling should we desire to do so. And move on to the next slide, Slide 14. This is a description of Phase 3 of the project, which we'll see development activities commence at Ruche and Ruche North East. This has a potential to add another 15,000 barrels of oil per day gross production to the project. It will be the second development hub. And the FID is expected later this year. We -- from this project, we expect first oil to be achieved in Q4 2021. And if we have a discovery at Hibiscus Updip, then any resources that will be added into this current Phase 3 of the project. The concept is a wellhead platform, which will be tied back to the FPSO for processing, storage and exploitation. We would -- we're conceptualizing currently 6 wells for this project and targeting 28.5 million barrels of reserves. The CapEx for this is around $375 million, and the production from Ruche would extend past the end of the term of the licensing 2037, 2038. That's the description of the Gabon project. And I will now hand over to my colleague, Nigel McKim, who will take you through the activities at Tunisia.
Nigel McKim: Thank you, Richard, and good morning, everybody. We're on Slide 15, the Tunisia introductory slide. In Tunisia, we have an active operational program and progress on the TPS assets where a number of well workover operations are currently underway. Whilst almost fast, offshore exploration permits, we're in the midst of detailed planning from the drilling of the Salloum West well. I will go on to describe these activities in a little more detail using the next few slides. For the next slide, Slide 16, enhancing TPS production levels. Panoro has interest in 5 producing concessions in Tunisia. The average gross daily production during the quarter was approximately 3,950 barrels of oil per day. Our near-term objective is to increase production by 15% to 20% around the end of Q3 2019, and we are targeting a gross production of 5,000 barrels of oil per day by the end of 2019. This slide shows the historical production from the TPS assets since 1981. We display here the production from each of the 6 fields on the 5 producing concessions. It is the total production level from these fields that tells the story. After ramp-up of production through the 1980s and 1990s, the impact of relatively low oil prices at the end of the '90s can be seen to have constrained further development in the early 2000s. Based from that decade, production in excess of 6,000 barrels of oil per day was established from these groups of fields. But in recent years, production has fallen significantly below these levels as a result of the period of relative underinvestments. We believe that this situation can be turned around, and I'll touch on some of the initiatives that we're currently pursuing to deliver this objective. On the right-hand side of this slide, we have identified the types of activities that are expected to underpin the current and future production. Firstly, it's important to state that there are ongoing activities required to maintain the existing production shown in blue. We lift our wells with electric submersible pumps, or ESPs. These have limited lives and needs to be replaced at regular intervals. This will be an ongoing activity, but we're also hoping to improve our pump performance. The enhanced production shown in orange is expected to be achieved by a variety of measures, amongst which, optimizing the production system, recompletions on new reservoir intervals, sidetracks to undrained reservoirs or blocks and the drilling of near -- of new wells into nearby discoveries. It is worth remembering that the economic life of this group of assets extends well into the 2030s and that there will be plenty of activity over the coming years. But for the purposes of this presentation, I'll focus only on the near-term activities. So on the next slide, Slide 17, TPS well activities. This slide shows the specific ongoing and planned activities. Guebiba-02 was worked over in July to replace a punctured downhole completion. Whilst Rhemoura-1 has just been worked over to replace the failed ESP. As we have said before, the highest impact near-term opportunities, the resumption of production of the El Ain field. We currently have an ongoing workover operation in the ELAIN-03 well where we are completing the well with an ESP for the first time. Looking forward, we plan a series of additional well workover operations. On Guebiba-04, we hope to recover a failed downhole completion and complete the well on a new reservoir interval. At ELAIN-01, we are awaiting over the workover rig operation later this year to run on the ESP for the first time. And in the new year, we expect to be able to sidetrack the Guebiba-10 well to a new target on the same reservoir. Further analysis is in progress to plan operations at Guebiba-05 and Guebiba-07. And then finally, you will see the Salloum West proposed well location that John will go on to talk about in a little bit more detail. So on Slide 18, titled Salloum Structure, Bireno depth map. As a precondition to the entry into a second renewal period from an additional 3-year term, we have now agreed to fulfill the expanding drilling obligation. This entails drilling the Salloum West-1 well in order to fulfill the commitment well conditions. We are currently working closely with our partner, ETAP, regarding the technical program and the formalization of drilling plans including well planning, location and approvals for drilling. The primary targets of the Salloum West well is the Bireno formation at approximately 3,200 vertical meters of depth where we have identified on 2D and 3D seismic data what we believe to be an independent block located west of the discovered Salloum structure. The well will target an independent full compartment updip from the discovery well, which was drilled by British Gas in 1991, tested the Bireno formation at a rate of some 1,800 barrels of oil per day. The objective of this new well is to prove up additional resources in the facility of the Salloum-1 well and to aggregate them in order to develop Salloum through a tieback to existent -- existing adjacent oil infrastructure at TPS. We are now in the midst of detailed operational planning with the intent to spud the well late in 2019. I'll now hand back to John for the next slide, Slide 19.
John Hamilton: Thank you, Nigel. Slide 19, Environmental, social and governance. We're a busy company. Everybody can see that. And I think it's worth reminding everybody that in the process of going about our operations, our increased activity levels in all of the countries in which we operate, we have a commitment to operate responsibly wherever we work in the world and to engage with our stakeholders to manage the social, environmental and ethical impact of our activities in the markets in which we operate. We have a lot more information in terms of our policies. Those are available on our website. It's perhaps part of the website that some people don't go to, but they are there, and I encourage people that are interested in this topic to please look on our website for our various policies and procedures, which we take very seriously. And finally, turning to Slide Number 20, our final slide before opening up for questions. Just to highlight the things that have come out of the presentation that you just heard in terms of our outlook as well. We're going to be a very busy company for the next 12 months. We're going to be drilling 3, 4, possibly 5 exploration wells including Hibiscus Updip and Salloum West in the next 12 months. We have 4 new development wells going down at Tortue, which would hopefully boost production materially at Dussafu. In Tunisia, you've heard what Nigel said in terms of our near-term and future opportunities that we have to really materially increase production at our assets in Tunisia, and work is well underway to commence that. We are obviously, in the meantime, trying to do all of this in a very safety, conscious and ethical manner, all this activity. And of course, as everybody who follow Panoro knows we are continuing to focus on our strategy and on our business development and trying to ensure the longer-term future of this company. And with that, Molly, I'd like to turn over to any questions that we may have from the audience. Thank you.
Operator: [Operator Instructions]. The first question comes from the line of Teodor Nilsen calling from SB1 Markets.
Teodor Sveen-Nilsen: I’ve actually, 3 questions. The first one, a quick one in reversal impairment. Is the only reason for change of the carrying value changes to reserves or have you made any of the changes to that, to [revitalize] your method? And second question is on Salloum. In the case of success, when do you expect to be able to report first oil on that? And third question is should we expect 3 liftings for third quarter at the Salloum West?
John Hamilton: Qazi, do you want to take the reversal impairment question?
Qazi Qadeer: Yes. Teodor, we basically monitor triggers for an impairment reversal. And one of the biggest factors in our assessment was the revision of results and also that we are progressing the project forward with Phase 2 and even in Phase 3 sanction as well. So what we are looking at is on this project, which is supporting the economics, and that basically drove us to perform this reassessment of the reversal of the impairment losses that we had recognized in the past. That is in line with all the current accounting standards that we have used to assess this item.
John Hamilton: Right. And Nigel, can you talk a little bit about what happens in the Salloum West success case?
Nigel McKim: Yes. So the plan for Salloum, once we've established the success following the drilling and analysis of the results, is to plan a tieback to the nearby Rhemoura TPS facilities. This will require the laying of the pipeline back to that facility, the design and execution of that program of work is likely to take a number of months.
John Hamilton: I think it's fair to say that we are already working on the planning and the engineering of that particular pipeline-laying. So we can plan for that success. And in terms of the liftings, Teo, I'll take that one. I think in the gory detail of our report, we try and be as transparent as we can in terms of the lifting frequency. In Gabon, we had a lifting in July, and we anticipate the next partner lifting in November. There is a state lifting in between, which is why there's a little bit of a gap there. The state lift their own barrels. The GOC and the state occasionally get a lifting, and they will ought to take that lifting during the month of September. In Tunisia, we expect to have -- we have had a lifting in July, and we will have another lifting we anticipate in the fourth quarter. Those are, of course, supplemented by some of the domestic sales. So we have the sort of big hits on the revenue or the big international liftings. But in the meantime, we have regular domestic sales as well, which add to that. And at Aje, at the moment, we don't have a clear lifting schedule, but we definitely anticipate one, possibly as many as 2 liftings. Exactly where they will fall quarter-to-quarter, I'm not entirely sure. But that's why we prefer to kind of look at this on a half-yearly basis if we can. But I would expect that we would have 5 to 6 international liftings during the second half of the year, and I would expect that to be supplemented by, again, domestic sales in Tunisia.
Operator: [Operator Instructions]. The next question comes from the line of [Evan Svenson], Private Investor.
Unidentified Analyst: I have a few questions regarding Dussafu and one question regarding Aje and then some regarding on the growth opportunity. Dussafu first. In your corporate presentation in January this year, Panoro presented gross perspective resource regarding prospects A and B of 482 million barrels. In the latest investor presentation from BWO, they have a P50 Prospective Resource of A and B combined of 89 million barrels. This is a reduction of more than 300 million barrels, 62% reduction. Does PEN and BWO have different view regarding these prospects? And what has changed since January that explains this massive negative adjustment?
John Hamilton: Okay. Should we take that question, first? Thank you very much as usual for your very good questions. Richard, do you want to talk a little bit about the prospect A and B and the discrepancy in those numbers?
Richard Morton: Sure. So the prospects A and B, just to remind you, are 2 large structures to the south of the Ruche discovery. So they were identified on 3D seismic data and mapped, and they've been in our prospect inventory for a number of years. Our early view on those was that they could have a high phase of -- in the order of 200 million barrels each prospect. We still believe that could be true. There were certain things required for that to be the case. Obviously, we will test that with a drilling campaign that needs to be designed and targeted to find out what the actual potential reserves are there. The work done by BW where they've shown a slightly lower number, a midpiece of 89 million barrels, is based on taking data from the Ruche North East discovery, which is new data for the Dentale reservoirs and also from the development and appraisal drilling at Tortue and adding that data to the existing database they come up with a slightly smaller number than that. So our view is in a high case, it could still be towards that higher end of that range, but it is a range. And with the exploration prospects, you expect a great deal of uncertainty around what we -- the final answer will be. So yes, the BW numbers are coming out slightly slower -- slightly lower than we had probably saw earlier in the life of the joint venture.
John Hamilton: I think the only thing I'd add, [Evan], is that, obviously, we're the non-operator here. We, of course, have from our own views, and I think you can hear from Richard that we're still quite bullish on prospects A and B. We are a bit guided in terms of the official numbers by the operator. We, together with the previous operator, held those numbers. BW were entitled obviously as operator also to have their own view on these assets, and those should probably be treated as the official numbers. But we are not backing off of previous assessments that have been made.
Unidentified Analyst: Do you have located the exploration well coming up after the drilling for the 4 new production wells? And do we see Tullow farm-in closing in Q3?
Richard Morton: So I'll ask -- I'll answer on the exploration well. We haven't picked a prospect for that yet. That's something that's -- we got workshops coming up to look for that. We're actually reprocessing the seismic data over the whole area, and that's going to inform us where we drill. And it will also help refine our position on prospect B. It's very important that we get a good image on prospect B, and that will refine what we think of the volume metrics and the chunk success of that prospect. And that will follow in after the development drilling phase.
John Hamilton: Yes. So I think that prospect will be picked probably around the turn of the year will be my guess, [Evan]. That's not an official number, but it still a few months away until we wait the results of the reprocessed seismic and the workshops that will follow from there. In respect of Tullow and the backing right that they have, discussions are well underway. There's quite a bit of documentation that goes with this, and those discussions are ongoing. We do expect Tullow to formally back in. That's our expectation. But it's not yet concluded. Did you have a last question?
Unidentified Analyst: Yes. Regarding Aje, the FPSO from Puffin has been sold to Century. Aje joint venture did terminate the FPSO contracts that would be effective date in June, July this year. Is there a new contract in place regarding the lease of the Front Puffin and have the partnership succeeded in negotiating better terms? And will we see some progress on Aje this year?
John Hamilton: Okay. Well, I will touch on the contract. But obviously, underlying commercial contracts are of a sensitive nature. When people ask me about that sale of the Puffin, obviously, we would make a press release if there's anything materially different. The termination was simply a contractual obligation that we had to terminate the contract. Otherwise, we would have been locked in for a different set of assumptions. So -- but what we had a high expectation that things would continue as normal. And for us, everything is business as normal with Century. Century have always been the O&M provider on the vessel, anyway. They now own it. So again, from -- for all intents and purposes, it's business as usual at Aje. The second question on Aje was, sorry?
Unidentified Analyst: Will we see some progress on Aje this year?
John Hamilton: Yes, yes. So no, I'm glad you asked the question. I've realized our presentation material doesn't have terribly much information on Aje. With Aje, I'll say the same things that we pretty much say at every quarterly call, which is, in Panoro's view, there is an enormous opportunity at Aje on the development of petroleum gas. What we believe needs to happen is that the joint venture needs to be restructured. At first, we have a lot of partners all with coming at things from different directions. And we believe it needs to be a consolidation or a restructuring of the joint venture, which would help unlock the next phase of the development at Aje. There are always discussions going on. If there are anything newsworthy, I would, of course, have to put it in our second quarter results. But we continue to discuss with the joint venture and with our partners ways of bringing this project forward, and that continues to be the case.
Operator: The next question comes from the line of [Frederick Smith], Private Investor.
Unidentified Analyst: I have 2 questions related to exploration prospects. One is related to the Hibiscus Updip prospect. If you could, I guess, it's Richard, just give a little bit more of an explanation on the -- on how you're drilling it compared to the '91 well, [Ozander]. And just give us a little bit more explanation around that. And the second one is related to the [Houbara] prospect in Tunisia, which is in the block, which I don't remember the name, but which is outside of [indiscernible] assets. And from my research, that Houbara prospect is quite significant and high potential. So maybe you can give us a little bit more information on that. So that's my 2 questions.
John Hamilton: Thanks, [Frederick]. Richard, do you want to take the questions?
Richard Morton: Yes, I will. Okay, thanks, [Frederick]. So good question on Hibiscus Updip. There is a -- there was a well drilled in '91 by ARCO. That well was drilled on 2D seismic data, it's important to note that. So it was a rather poor subsurface image. When it was drilled by ARCO, they didn't have the benefit of our current 3D. If you recall, the 3D has enabled us to get success at both Ruche and Tortue. So we have that additional technology and data that wasn't available in the 1991 drilling. The 1991 well found very good quality reservoir in the Gamba, and the well was cold and there was live oil shows in core. It actually tested water. So that -- and the interpretation of that is that it was drilled for a transition zone. So probably at the edge of a valid structure. Now from the 3D seismic, we believe that the valid structure is there. It exists to the southwest of the 1991 well, and that's where the current drilling is taking place. So the well is a vertical well. It's relatively quick to drill it, and we're taking this opportunity to do that ahead of the development drilling to warm the rig up, get the exploration well in, add resources into the Ruche and Ruche North East area in the event of success. So we should have some results on that campaign in September. Moving on to [Houbara]. So Frederick , you're right. There is a prospect in the Sfax Offshore Exploration Permit called Houbara . This has been identified a number of years ago by former operators. It's covered by some quite poor quality 2D seismic data currently, but we believe it to be a valid structure. It's just offshore the Guebiba structure, so a similar kind of trend to Guebiba in TPS, and it could be easily tied back into that infrastructure as we're contemplating to do with Salloum. It does require us to acquire some additional seismic data to enable to drill and develop that prospect, and we're planning in the event that we enter the next phase on Salloum exploration permit to acquire some seismic in 2020, which would enable us to drill the prospect in 2020, 2021. So that's the time frame, looking forward for that.
John Hamilton: Yes. [Frederick], and just to add, if you remember some of the slides we show on the Sfax Offshore Permit, it's quite a big permit and there are a number of discoveries there, Jawhara, Ras El Besh, a number of exploration prospects of which [Houbara] is one. I think, Houbara is the one that kind of excites people because it's right on trend. We believe, as Richard said, it's right close to shore. So it's one of those ones that is easily tied back. And I think we'd almost certainly feature as the key exploration well in the next phase, almost certainly.
Unidentified Analyst: Yes, the proximity to infrastructure kind of my interest.
Operator: [Operator Instructions]. We have no further questions coming through on the phone lines. So I'll hand the call back over to your host for any concluding remarks.
John Hamilton: Thank you very much, Molly, and thank you very much for the questions and thanks to you who listened. If you have any additional questions that you don't want to ask in the full public view, please feel free to e-mail us on our e-mails -- on our information e-mail address, which you can find on our website. We thank you very much for listening, and we look forward to updating you in the near future on developments at Panoro. Thank you.